Operator: Good morning, and welcome to the Restaurant Brands International Inc. Fourth Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. All callers will be limited to one question, and please note this event is being recorded. I would now like to turn the conference over to Kendall Peck, RBI's Head of Investor Relations. Please go ahead.
Kendall Peck: Thank you, operator. Good morning, everyone, and welcome to Restaurant Brands International Inc.'s earnings call for the year and quarter ended 12/31/2025. Joining me on the call today are Restaurant Brands International Inc.'s Executive Chairman, Patrick Doyle, CEO, Josh Kobza, and CFO, Sami A. Siddiqui. Following remarks from Josh, Sami, and Patrick, we will open the call to questions. Today's discussion may include forward-looking statements, which are subject to risks detailed in the press release issued this morning and in our SEC filings. We will also reference non-GAAP financial measures, reconciliations of which can be found in the press release and trending schedules available on our website. Please note that franchisee profitability referenced on this call is based on unaudited self-reported franchisee data. As a reminder, organic adjusted operating income growth excludes results from the Restaurant Holdings segment. In addition, on 02/14/2025, we acquired substantially all the remaining equity interest in Burger King China from our joint venture partner. Burger King China was classified as held for sale and reported as discontinued operations in our financial statements for 2025. That said, BK China KPIs continue to be included in our international segment KPIs. A breakdown of BK China's KPIs and its impact on our 2024 financial statements can be found in the trending schedules available on our website. For calendar planning purposes, our preliminary Q1 earnings call is scheduled for the morning of May 6, 2026. I will now turn the call over to Josh.
Josh Kobza: Kendall. Good morning, everyone, and thank you for joining us today.
Josh Kobza: As I began my fourth year as CEO, I want to start with a brief reflection on what worked well in 2025. When we stay focused on the basics, make the right long-term investments, results tend to follow. And this year was another example of that. Our brands delivered solid results, reinforcing the strength of our portfolio and the impact of our continued focus on delivering quality, service, and convenience to guests. This year, we also took decisive action to position us well for the next phase of growth. In China, we temporarily took control of our Burger King business, built a strong local leadership team, elevated marketing, optimized the restaurant portfolio, and strengthened operations, driving three consecutive quarters of positive same-store sales. Importantly, we attracted an engaged local partner, CPE, and established a strong foundation for long-term growth. At Popeyes, we took important steps to refocus the leadership team and begin returning the brand to the level of performance we know it is capable of delivering. And at Burger King in the US, we continue to invest in operations, marketing, and modern image, while also beginning our refranchising efforts two years ahead of schedule. Over the past few weeks, Tom and I spent time in the field together, road tripping from DC to Philadelphia, visiting restaurants, sitting in on Royal Roundtables, and checking in on remodeled SIZZLEs. These restaurants are a great example of getting all of the basics right. Operations are dialed in, teams are energized, managers are focused and engaged. As a result, these stores are delivering annualized average restaurant sales of nearly $3,000,000, a clear tangible illustration of what strong execution looks like in practice. That same focus on the fundamentals was evident across the business in 2025. For the full year, we delivered comparable sales growth of 2.4%, net restaurant growth of 2.9%, and system-wide sales growth of 5.3%. We translated those top line results into organic adjusted operating income growth of 8.3% and nominal adjusted EPS growth of over 10%. It is now our third consecutive year of delivering roughly 8% organic adjusted operating income growth, a level of consistency that remains differentiated within the industry. I am proud of how our teams and our franchisees showed up. Our three largest businesses, Tim Hortons, International, and Burger King, all outperformed their respective categories this year. Tim Hortons Canada and International have now each delivered 19 consecutive quarters of positive comparable sales. And Burger King US made visible progress executing Reclaim the Flame. While 2025 represented a low point for our consolidated net restaurant growth, we believe we have turned the corner and are excited to reaccelerate growth in 2026. Stepping back, this year reinforced the resilience of our model and the progress we have made strengthening our brands. We delivered solid top line growth and on-algorithm adjusted operating income growth amid a tougher consumer backdrop, strengthened the quality and durability of our earnings, and exited the year ready to build on that momentum in 2026. Lastly, I would like to provide a quick reminder of our upcoming Investor Day on February 26. This year marks the midpoint of our long-term growth algorithm, and our Investor Day will serve as a check-in on our progress and an opportunity to address some of the biggest questions we get about the business. Tom will provide an update on Reclaim the Flame, and I will spend time discussing our path to 5% plus net restaurant growth. Sami will walk through our plans to return to a 99% franchise business model and discuss capital allocation. And you will hear from Patrick and our brand presidents with additional time for Q&A. As a result, today's call will largely focus on our quarter and year-end results, and we will address most of our forward-looking plans at Investor Day. We look forward to seeing you there. With that, let us turn to our segment highlights, starting with Tim Hortons, which represents roughly 42% of our operating profit. 2025 was another year that underscored the strength and durability of Tim Hortons. We started the year amid macro uncertainty and weaker consumer sentiment in Canada, yet Tim’s delivered solid performance by staying focused on executing against the basics, delivering great experiences for our guests. That consistency carried through the fourth quarter, with comparable sales in Canada growing 2.8%, outperforming the broader Canadian QSR industry by nearly two points. Brand health continues to be a key advantage, with Tim’s leading in affordability, trust, and relevance with guests. That connection to the communities we serve was evident during our Holiday Smile Cookie campaign, which raised approximately C$13,000,000 across Canada and the US for local charities and our Tims Foundation Camps. During the quarter, we kept a disciplined balance between innovation and core offerings. Breakfast food sales grew 3.5%, supported by innovation like our 100% Canadian freshly cracked scrambled eggs, alongside strength in our core such as our Farmer’s Wrap. Baked goods grew 2% driven by seasonal offerings like the Biscoff Boston Cream doughnut and croissant. In the PM daypart, main foods grew modestly, supported by our holiday meal offering. PM remains an important long-term opportunity for the brand. We continue to refine the menu, value platforms, and execution to drive growth. Q4 beverage sales grew 3.2% year-over-year, with strong guest response to seasonal offerings like our Biscoff and brown sugar beverages. Cold beverages remain a standout, growing 8.6% despite colder than usual temperatures in December, reaching nearly 27% of total beverage sales in Q4, the highest fourth quarter mix on record. This growth was largely driven by our iced espresso-based beverages platform, including iced chai lattes and protein lattes. We also began rolling out our new espresso machine to support improved quality and consistency for this growing category. Tim’s ongoing industry outperformance would not be possible without Axel and his team’s constant focus on delivering a great guest experience. Speed of service improved across dayparts in 2025, and guest satisfaction reached record levels, including in the PM. Digital engagement also continued to build, with digital ordering and payments reaching all-time highs in Q4 and kiosk expanding to over 800 restaurants. We are excited to give guests even more reasons to engage with Tim’s and accelerate loyalty adoption through the launch of our partnership with Canadian Tire later this year. On development, Tim Hortons returned to net restaurant growth in Canada for the first time since 2021. As expected, growth this year was measured and targeted, capacity-constrained markets, and urban densification focused on suburban developments. This represents a positive step forward for the system; with a strong pipeline, we are confident in our ability to accelerate development again in 2026.
Josh Kobza: Meanwhile, in the US, Tim’s delivered its
Josh Kobza: highest level of new restaurant openings in the past decade, reflecting continued progress in both existing and new markets like Florida and Virginia. Lastly, I would like to touch on franchisee profitability in 2025. In Canada, Tim Hortons delivered solid top line sales performance, which helped offset headwinds from tariffs and increased operating commodity costs, including coffee. While cost pressures impacted P&Ls, average four-wall EBITDA grew resilient at approximately C$295,000, underscoring the strength of the Tim Hortons business and the durability of its franchisee economics. Overall, the fourth quarter capped another year of steady performance for Tim Hortons, supported by strong brand fundamentals, delicious menu innovation, and consistent execution. That foundation positions the business well as we move into 2026. Turning now to International, which drives about 27% of our operating profit. 2025 was a standout year for this business. Across a diverse set of markets, our teams and franchisees executed a balanced operational and marketing playbook that led to another year of double-digit system-wide sales growth. While International is often viewed as a unit growth story, it is worth highlighting that this segment has also delivered strong comps and double-digit system-wide sales growth for years, with a mid-single-digit average royalty rate that flows efficiently to AOI. For the full year, comparable sales grew 4.9%, including 6.1% in the fourth quarter, and net restaurant growth was 4.9%, driving system-wide sales growth of nearly 11%. Performance was strong across several of our largest markets, reflecting the quality of our brands and the effectiveness of our local strategies. In France, Burger King delivered another strong quarter, led by the DuoMystère Box, where guests receive a surprise duo for €5, and our Stranger Things activation. In Australia, the launch of Jacked Up Sodas, which is Hungry Jack’s take on dirty sodas, helped drive record beverage incidents. And in Brazil, our King em Dobro platform continued to resonate by delivering compelling core value. Q4 was also an important quarter for Burger King China, with comparable sales growing 9.2%, driven by improvements in restaurant fundamentals, growth in delivery, and refreshed marketing. Most importantly, during the quarter, we announced a joint venture with CPE, an experienced Chinese investment firm with a proven track record of scaling consumer brands in China, under which CPE would take majority ownership of the business. The transaction closed on January 30, and CPE injected $350,000,000 of primary capital to fund growth. Together, we share an ambition to roughly double Burger King China’s restaurant footprint to at least 2,500 units by 2030. I could not be more excited to welcome CPE to the RBI family. I am looking forward to sharing more about their vision for Burger King in China at our upcoming Investor Day. We also made progress at Popeyes China, opening 55 net new restaurants in 2025, as we continue to build brand awareness. With a clear path to accelerate development in 2026, we remain focused on scaling this business thoughtfully and look forward to eventually getting it into the hands of a long-term local operator. Reflecting on 2025, International stands out as one of our strongest growth engines, a clear competitive advantage. We have now built five $1,000,000,000 businesses in Burger King Spain, Germany, Australia, Brazil, and the UK, along with a $2,000,000,000 business in Burger King France. We are also seeing consistent success in markets just outside our top 10 that we do not always highlight, like Burger King Japan, where we have beaten the industry for eleven straight quarters, delivering 22% same-store sales in 2025 on top of 19% same-store sales in 2024, and adding 84 net new restaurants this year. Or Popeyes Turkey, which more than doubled its store count in the last four years, ending 2025 with nearly 500 restaurants. In addition, we are scaling newer markets like Popeyes in the UK or Tim Hortons in Mexico, where we crossed $201,100,000,000 in system-wide sales respectively, as brand awareness and market adoption continue to build. While these markets are diverse, they are winning by executing the same fundamentals: locally relevant marketing, disciplined development, and consistent operations, all managed by strong local operators. These fundamentals give me confidence that International is well positioned to deliver durable growth in 2026 and beyond. Turning now to Burger King, which represents roughly 18% of our operating profit. US comparable sales grew 1.6% for the full year, including 2.6% in the fourth quarter. We have now outperformed the burger QSR industry in nine out of the last 12 quarters, demonstrating how Reclaim the Flame is strengthening the brand and its relative value proposition for guests. Marketing and menu innovation played an important role during the quarter. In December, we launched the SpongeBob SquarePants menu, featuring the Krabby Whopper, an iconic square yellow bun alongside Cheesy Bacon Tots, a Strawberry Shortcake Pie, and a Frozen Pineapple Float. The activation drove strong guest engagement and brought families back into our restaurants, with Kids Meals reaching their highest incidence level in the last ten years. It is an exciting proof point as we think about the potential of our family business. Importantly, we were able to retain traffic after the promotion ended, with new SpongeBob guests coming back to Burger King in January. This innovation was supported by our consistent value platform, $5 Duos and $7 Trios, which remained on the menu all year. Duos and Trios continue to perform well by offering guests choice, price certainty, and consistency. In a year when there was significant noise across the industry around value, this dependable platform allowed us to focus our marketing behind Whopper-led innovation and family partnerships that attracted new guests to the brand. Looking ahead, we will continue executing this balanced strategy. But that sales momentum only translates into sustained traffic when it is supported by solid operations. Throughout the year, the team remained focused on improving execution. Tom and his team are completing their fourth annual Royal Roundtables, bringing together every restaurant manager in the country to sharpen operational focus across the system. We see the impact of consistent operations, speed, and service quality reflected clearly in the performance of our A operators, who outperformed the system average profitability by nearly $50,000 in 2025. In addition to improving operations, we remain dedicated to modernizing the asset base, and ended 2025 at 58% modern image, up from 51% in 2024. While we previously discussed reaching 85% modern image in 2028, the current cost environment is influencing the pace of remodel activity, and as a result, will take a bit longer to reach that level. This does not change our strategy or the role of remodels in Reclaim the Flame. Remodels continue to deliver compelling uplifts and the teams are in control, reinforcing our confidence in the program. We will continue to make steady progress alongside our franchisees. We also continue to modernize Carrols, completing roughly 60 remodels in 2025, including 54 SIZZLEs. Comparable sales grew by 2.4% in Q4, slightly behind the rest of the system as Carrols restaurants were more heavily impacted by weather given their geographic concentration in the Northeast. Finally, franchisee profitability was about $185,000 in 2025, down from about $205,000 in 2024. This was driven primarily by beef costs, which Sami will discuss shortly. While 2025 was a step back, we are well ahead of where we were just a few years ago. Fundamentals continue to strengthen, and we are confident profitability will expand as beef costs normalize. Overall, I am encouraged by the progress Tom and team made in 2025. Burger King executed compelling marketing, offered consistent value, improved operations, and continued to make progress on modern image, helping the brand once again outperform the burger QSR industry and reinforcing my confidence in the brand's trajectory as macro pressures ease. I am excited for you to hear from Tom directly on February 26 about how we plan to further elevate the brand moving forward. Now turning to Popeyes, where net restaurant growth of 1.6% was more than offset by comparable sales down 3.2% for the year, resulting in system-wide sales growth of negative 0.7%. As a result of softer sales this year, franchise profitability declined to roughly $235,000, which remains a healthy level, but one we are focused on improving. Our performance this year reinforces a clear reality. While the chicken category remains competitive, Popeyes’ biggest opportunity is improving restaurant-level execution and reengaging with our core guests. We know Popeyes is capable of much more, and we are taking decisive action to put the brand back on the right path while supporting our franchisees to deliver stronger results at the restaurant level. In November, we announced that Peter Perdue, former COO of Burger King in the US, would step into the role of President of Popeyes US and Canada. Peter has a clear mandate to raise operational consistency, and he is moving quickly, resetting his leadership team and engaging with our franchisees. At its core, the chicken business is a service business, and winning requires consistent speed, accuracy, and reliability in every restaurant every day. To support that, we are expanding field engagement and providing targeted support to our lowest-performing restaurants. We have increased our field operations team by approximately 75%, launching in-restaurant coaching visits and hosting our first-ever Restaurant General Manager Experience rallies across the US this spring. Alongside operations, we are also sharpening our core product focus, prioritizing offerings that define Popeyes and resonate with both new and legacy guests, including our incredible hand-battered and fried bone-in chicken, tenders, and sandwich. I am excited for Peter to share more detail at our upcoming Investor Day. In the meantime, I want to reiterate my confidence in the underlying strength of the Popeyes brand. We have a great group of engaged franchisees, a relatively modern asset base, solid unit economics, and some of the best chicken in the industry. With disciplined execution and sustained focus, I am very confident Popeyes will return to the level of performance it is capable of delivering. Finally, Firehouse Subs had a solid year, with comparable sales of 1.1%, including 2.1% in the fourth quarter, and net restaurant growth of 7.7%, driving 8% system-wide sales growth. As a result of this growth, franchisee profitability grew to over $100,000. Importantly, Mike and the team opened 104 net new restaurants across the US and Canada and accelerated net restaurant growth from approximately 6% in 2024 to 8% in 2025, led by Canada. In fact, Firehouse is one of the fastest growing QSRs in Canada in 2025. I am excited about the growing momentum of this brand, and I am looking forward to even more success in 2026. I will now turn the call over to Sami.
Sami A. Siddiqui: Thanks, Josh, and good morning, everyone. 2025 was a year of execution-driven performance which translated into solid top line results, 8% organic AOI growth, and double-digit adjusted EPS growth, with performance improving as we went through the year. We also took important steps to simplify the business and strengthen our foundation for future growth, announcing a new partner for Burger King China, beginning refranchising the Burger King US ahead of schedule, and maintaining disciplined investment behind the initiatives that matter most
Sami A. Siddiqui: for long-term value creation. As we exit 2025, the fundamentals of our business are stronger, our portfolio is more focused, and we have improved visibility into earnings and cash flow growth, all of which give me confidence in our ability to build on this momentum in 2026. Today, I will focus on our full year 2025 financial results and I will touch on a few modeling-related items for 2026. As Josh mentioned, the bulk of our forward-looking commentary will be reserved for our Investor Day on February 26. Now on to our results, beginning with our financials. For the full year, we delivered comparable sales growth of 2.4%, net restaurant growth of 2.9%, and system-wide sales growth of 5.3%. We translated that to organic AOI growth of 8.3% and nominal adjusted EPS growth of 10.7%. Compared to our long-term algorithm, comparable sales came in modestly below target, though we continue to outperform the industry. Meanwhile, net restaurant growth of 2.9% was roughly in line with our full year guidance. Importantly, we believe 2025 represents a low point for NRG, and from here, we expect to ramp back towards 5% unit growth by the end of our algorithm period. In 2026, we expect to see modestly positive NRG from Burger King China following our portfolio cleanup and the transition of the business to our new local partner, CPE. For reference, returning Burger King China to neutral NRG would imply a positive impact of 70 basis points on our consolidated 2025 unit growth. We look forward to providing more color on our future development outlook during our Investor Day. We continue to translate system-wide sales growth into even stronger earnings growth, delivering our third consecutive year of roughly 8% organic AOI growth. There were some specific puts and takes in 2025 that I will walk you through now, all of which we have discussed on our prior calls.
Operator: First,
Sami A. Siddiqui: we lapped over the roughly $60,000,000 BK Reclaim the Flame ad fund contribution. In 2025, those expenses moved over to the P&Ls of our franchisees and our company restaurants, which was a tailwind to our organic AOI growth. Second, moving the other direction, we did not recognize revenue from Burger King China in 2025 as we recorded results from the business in discontinued operations. As a result, the International segment saw a $37,000,000 revenue headwind in 2025. Of course, we expect these results to phase back into our P&L prospectively, which I will touch on shortly. Third, segment G&A stepped down by $38,000,000 year-over-year in 2025. This reduction was primarily driven by lower stock-based compensation and headcount efficiencies identified during the first half of the year, in addition to continued cost discipline. We believe our business is at a healthy level of G&A which will grow modestly with inflation over time.
Operator: And last,
Sami A. Siddiqui: net bad debt expense totaled $21,000,000, modestly lower than $24,000,000 in 2024. Together, these factors enabled us to translate 5.3% system-wide sales growth to organic AOI growth of 8.3%. Now turning to EPS. For the full year, adjusted EPS grew 10.7% to $3.69 per share. EPS growth was driven by our AOI growth, as well as a $43,000,000 year-over-year decrease in adjusted net interest expense, reflecting the benefits of our 2024 refinancing activities and our cross-currency swaps. Our adjusted effective tax rate was 18.6% in line with our guidance and our expectations for 2026. Now turning to cash flow and capital allocation. We generated nearly $1,600,000,000 of free cash flow this year, including the impact of $365,000,000 of CapEx and cash inducements and a $138,000,000 cash benefit from our swaps and hedges. We also returned $1,100,000,000 of capital to shareholders year through our dividend. In 2026, we are increasing our dividend target
Operator: To refranchise 50 to 100 Burger King restaurants in 2025 and I am pleased to say we slightly exceeded that guidance. Now before shifting to 2026 financial guidance, I would like to touch on two additional modeling items: Burger King China and beef costs. As a reminder, throughout 2025, Burger King China was classified as held for sale, its results were reported under discontinued operations and excluded from our International segment P&L. Following the close of our joint venture transaction with CPE, royalties from Burger King China are once again being recognized in our International segment P&L. For reference, in 2024, we recognized $32,000,000 in royalty revenues from Burger King China at a full royalty rate. In 2026, the royalty rate will begin a couple points below our standard 5% rate for traditional Burger King International locations and will ramp to 5% over time. Next, I would like to discuss beef costs. Burger King US saw approximately 7% commodity inflation in 2025, largely due to beef, which increased over 20% for the full year. This drove the year-over-year decrease in average four-wall profitability which would have been roughly flat year-over-year if beef prices stayed around where they were in 2024. As previously discussed, we believe these pressures are cyclical as the increase is largely tied to US herd rebuilding coupled with tariff impacts and upstream labor shortages. Importantly, the key to reaccelerating franchisee profitability growth will come from driving strong top line results, and we continue to work closely with our franchisees to drive improvement in areas that are under our control. Now finally, I would like to discuss our 2026 financial guidance. Most importantly, in 2026, we are committed to delivering a fourth consecutive year of on-algorithm 8% AOI growth. This is supported by a strong top line and continued flow-through to earnings. A couple points to note. First, we expect segment G&A, excluding Restaurant Holdings, of about $600,000,000 to $620,000,000, representing modest inflation relative to $594,000,000 in 2025. Second, we expect net adjusted interest expense to stay at approximately flat year-over-year in the $500,000,000 to $520,000,000 range, based on a mid-3% SOFR rate which flows through to approximately 15% of our debt. Third, we expect 2026 CapEx and cash inducements, including capital expenditures, tenant inducements, and incentives, to be around $400,000,000 compared to $365,000,000 in 2025. This increase is primarily driven by higher CapEx associated with Tim Hortons development and renovation as well as acceleration in Carrols remodels. Fourth, we expect Tim Hortons supply chain margins to be roughly in line with 2025 levels. From a seasonal perspective, we expect Q1 margin to be the softest of the year, more or less in line with 2025. And last, there are a couple things to keep in mind for Restaurant Holdings, which, as a reminder, is not included in our AOI algorithm guidance. BK Carrols restaurant-level margins will continue to be impacted by commodity inflation, primarily related to elevated beef costs. For 2025, BK Carrols full-year restaurant-level margin was 11.1%, and we expect similar full-year margins in 2026. For 2026, we expect total RH AOI of roughly $10 to $20,000,000, with favorability in beef costs bringing us towards the higher end of that range. The expected year-over-year decline in RH AOI reflects the impact of Carrols restaurant refranchising and incremental investments in our International start-up businesses, Popeyes China and Firehouse Brazil, that we expect to continue until we transition ownership to new local partners. To wrap up, stepping back, 2025 demonstrated the strength and resilience of our business model and the benefits of the strategic investments we have been making over the past several years. We spent much of the year talking about how our business was at peak complexity, and I am pleased to say that we are entering 2026 with a simpler, more focused portfolio and visibility into future earnings. That positions us well as we move into the next phase of growth and work to deliver another year of 8% organic AOI growth in 2026. With that, I will turn it over to Patrick.
Patrick Doyle: Thanks, Sami. 2025 was my third full year at Restaurant Brands International Inc., and I would like to take a step back and talk about what this year taught us about the health of our business and the progress we have made strengthening it. 2025 was a demanding year for restaurant operators. The consumer was under pressure. Costs were elevated. And macro and geopolitical uncertainty weighed on confidence across many of our markets. Taken together, it was the kind of environment that served as a pretty good test of the fundamentals of a restaurant business. And in that context, our performance demonstrated that the underlying fundamentals of our portfolio are not only resilient, but improving, with our brands continuing to strengthen their competitive positions despite a challenging backdrop. Of course, the most important metric we look at is franchisee profitability. While profitability was down in parts of the system in 2025, a closer look tells an important story about the strength of our portfolio. At Tim Hortons, despite elevated coffee costs and tariff-related headwinds that weighed on consumer confidence in the first half of the year, average four-wall EBITDA held at around C$295,000. While we are always striving to drive growth in franchisee profitability, we believe this is a healthy outcome given the context and reflects the consistency of Tim Hortons’ business, strength of its restaurant owners, and benefits from its continued outperformance versus the broader QSR industry over the course of the year. And while we do not report franchisee profitability at International given its scale and structure, it is fair to say that with mid-single-digit comparable sales growth and net restaurant growth of 7%, excluding BK China, our International franchisees are doing quite well overall and continue to see attractive economics. At Burger King, we faced a meaningful headwind this year from over 20% inflation in beef, our largest commodity, which caused franchisee profitability to step back year-over-year. But what is important to me is what did not happen. Even in an environment with a lot of value noise, we did not need to rely on deep discounting to drive top line results. The core business continued to improve, and the system showed far more resilience than it would have four years ago before Tom and the team launched Reclaim the Flame. The investments we and our franchisees have made in operations, marketing, and modern image have fundamentally strengthened the system, and that showed up clearly this year. There is absolutely still work to do. But relative to much of the burger QSR category, I think it is fair to say that our franchisees are feeling pretty good about where they stand and our ability to grow from here. We have also been disciplined about growth and capital. In a year like this, the wrong response is to push development or investment faster than the economics support. Instead, we have prioritized protecting franchisee balance sheets, pacing remodels thoughtfully, and placing restaurants in the hands of operators who can execute at a high level. Simplifying the business and moving toward a more purely franchise model are part of that same mindset. At Popeyes, we also saw a step back in unit economics year-over-year, and this is a different situation. We have been very upfront that sales are not where they should be, and you saw us make leadership changes in 2025 and earlier this year as a result. I am confident that the steps we are taking, particularly the renewed focus on operations, consistency, and brand standards, will translate into better performance over time. Average profitability of roughly $235,000 is not where the system can or should be, but Popeyes has a strong franchisee base, and there is real engagement and momentum around the changes Peter and the team are leading. And lastly, at Firehouse, we saw average profitability grow to $100,000, reflecting the steady progress Mike and the team are making despite some lingering category headwinds. Given Firehouse’s lower cost inline build model, that level of profitability supports attractive paybacks on new openings and positions the brand well to continue accelerating unit growth. I mentioned earlier that a year like this can serve as a real test of a restaurant business. And when I look at how we performed, I think our overall grade is pretty strong. We outperformed the industry across our three largest businesses, including by two points at Tim’s Canada and three points at Burger King US. Tim Hortons Canada and International each extended their multiyear streaks of positive quarterly comparable sales. And our teams delivered over 8% organic operating income growth and double-digit EPS growth for shareholders. That marks the third year in a row of roughly 8% organic adjusted operating income growth. That is the type of consistency we want to continue to deliver moving forward. This combination of industry outperformance, margin discipline, and earnings growth does not happen by accident. It reflects improving fundamentals, strong execution, and real partnership across the system. I am proud of what our teams and franchisees delivered this year, and I feel good about the progress we have made strengthening this business for the long term. With that, I will turn it over to the operator for questions. Thank you. As a reminder, if you would like to ask a question on today’s call, please press star then one. And our first question will come from Danilo Gargiulo from AllianceBernstein.
Kendall Peck: Danilo, please go ahead. Your line is open. Great. Thank you. What is very encouraging is to see solid sales momentum in US and Canada in the quarter despite the tough backdrops we are describing. I am wondering if you can maybe talk about how you are thinking about the comparable sales evolution and trajectory in 2026. Which anchor points may provide upside gains for Tim Hortons and Burger King? And specifically to Tim Hortons, you seem to have achieved great results with the beverages, with the PM skewls growing a little bit more modestly. So what is the next evolution to drive greater PM expansion? Thank you.
Josh Kobza: Morning, Danilo. Thanks for the question. You know, I think in terms of the same-store sales, I agree it was a very good year and I think a positive Q4. And I think that sets us up well as we step into 2026. I think importantly because the reason that we were achieving those same-store sales is we are delivering on the fundamentals across all of the businesses. So I think that is a great setup, and you know, I think our expectation is for a similar consumer environment in 2026 to 2025, and we will keep focusing on building on those basics. You know, the one thing I would call out for in 2026 that I am sure anybody in Toronto or New York is aware of is that it has been a bit of a tough weather environment so far in 2026. So I think that is important to flag. You know, that should normalize as we get out of the next couple of months, and we look forward to building back another great year. In terms of the Tim’s same-store sales, you know, I think you characterized it well. I think we made a ton of progress across cold beverages. It was a big highlight throughout the year. And as I mentioned in the prepared remarks, even in Q4, which is not traditionally the strongest time of the year for cold beverages, we had our highest incidence ever, which tells you we are really building a better portfolio of offerings, and we are building new habits with our guests. So that is something we are very mindful of, and I think you will see us bring even more exciting innovation. I think you will see that cold bev mix keep ticking higher as we move through the year. In terms of PM foods, I do think we have made good progress there. We have expanded the portfolio and introduced some really great offerings. And we are going to build on that in 2026. We have got a whole calendar planned out of initiatives that build upon what we did in 2025, but I think brings some exciting additional innovations that will help us to build that habit with PM food. And I think we have always viewed our efforts to move into the PM as a long-term initiative, something that will take a lot of years. That is a big new front to open up for a concept that historically was really focused in the morning in that kind of 6 AM to 10 AM time window. So that kind of shift, it will take a number of years to build those habits, to build those product portfolios. I think we are well on the way to doing that. We are making good progress, not just on the product portfolio, but also on operations and making sure that we are delivering the same great experience through lunch and in the afternoon that we deliver in that morning daypart. Axel and the team have been really focused on that. I think that as much as the product innovations are going to be critical to making Tim’s a destination for folks in the PM, I think we are going to make some more progress on that in 2026 and also in the years beyond. Thanks. The next question comes from Brian Bittner from Oppenheimer. Brian, please go ahead. Your line is open.
Kendall Peck: Thanks. Good morning and congratulations on
Josh Kobza: a strong 2025. The important International segment really seems to be hitting on all cylinders recently, over 6% comps in the fourth quarter in the face of much stiffer comparisons.
Kendall Peck: Burger King and Popeyes seem to be the standouts in the International segment, and I know this segment covers a lot of geographies, and you touched
Josh Kobza: on a few in your prepared remarks. But generally speaking, can you just unpack for us how much of this momentum internationally is being driven by a healthier backdrop that you are operating in versus perhaps share gains that you are taking or what you are doing from a bottom-up perspective at Burger King and Popeyes? Thanks, Brian. I think it is a bit of all of the above. You know, I will walk through a few pieces. I think the backdrop has been decent in a lot of our markets, especially the European and Asia Pacific markets. And I think our brands benefit from a few different structural tailwinds in those markets broadly. You know, we have talked about it a lot, but there is a lot of structural growth in those markets. As you have more folks moving into the workforce, you have more folks getting into the middle class, you have more formalization of the restaurant segment. A lot of those markets, especially in places like India, where we are very early in what I think will be a long road of growth, decades to come. So I think you have got a really supportive structural market. And within that, our brands are also well positioned. You know, we have got modern assets. We are new in those markets. The brands are more aspirational. We are highly digitally enabled, and we have really great operations that are
Josh Kobza: consistently driving
Josh Kobza: same-store sales, and as you mentioned, I think same-store sales that have exceeded many of our competitors in a lot of those markets. You know, if you look across the regions, I would tell you EMEA in particular has shown consistent strength across a lot of our biggest markets. So that has been a consistent tailwind for us. And then in Asia Pacific, things have really gotten a lot better the last year or so. You know, obviously, we have talked a lot about China where we went from negative same-store sales to meaningful positive same-store sales. So that was a very intentional set of steps we took that moved a big market there. But I also mentioned, you know, markets like Japan that are not historically huge growth markets for folks. You know, we are doing double-digit comps on top of double-digit comps and growing the restaurant base there. So we have got a lot of markets in Asia Pacific that are really performing well over the last year or so. I think our team has been doing a really nice job out there, and some of that has allowed us to outperform the competition. Patrick, I would add just one other thing to kind of highlight. In calendar year 2023, our system sales for Popeyes outside of the US were $927,000,000. Last year, they were $1,700,000,000. We did a half billion in the fourth quarter, so we are already at a run rate of $2,000,000,000. It is a stunningly great business outside of the US, and really excited about what we are going to be able to get done with the Popeyes brand. And I will just add a couple more things on some of these International markets that are doing well. You know, I think if you go see our business in a place like France, it is really fantastic. We have wonderful locations, beautiful new assets, highly digital. The product quality is great. Alexis Simon and the team are truly passionate about the product quality. I think that is why we have driven tremendous growth there. And I can go to the other side of the world and go to Japan and I will tell you, if you are in Tokyo, I think you will have one of the best Whoppers you are going to eat anywhere in the world. And so these markets are really doing a great job at the fundamentals. And that translates to a great business model as well, which is driving growth. So lots of good reasons that International business is doing well.
Josh Kobza: The next question comes from David Palmer with Evercore ISI. David, please go ahead. Your line is open.
Josh Kobza: Great. Thanks, guys. I wanted just to follow up on Brian’s question about sort of walking around the world here. And, you know, I think a lot of us really know the US market in terms of the fast food consumer and the fast food market trends here. In the US, we know them less well in Canada, less well in Europe. It feels like Europe in general, and I am really focusing on this developed market side of things in this question, it feels like Europe is remarkably strong when it comes to fast food, particularly when you contrast it with some of the CPG commentary that we get in consumer staples world in regards to the European consumer. And then you pro looks like you are gaining share in a lot of these markets. So maybe just kind of
Josh Kobza: sort of summarize, contrast,
Josh Kobza: what you are seeing in the US. It feels like Canada is maybe a little weaker, maybe more like the US. And just how you think about the setups for key markets and help us get comfortable with that the strength can continue in markets like Europe.
Josh Kobza: Thanks.
Josh Kobza: Dave, thanks for the question. So I will maybe comment on both the EMEA markets and particularly Western Europe and a little bit on Canada as well. So if you look across the big Western European markets, so places like France, Spain, Germany, Great Britain, you know, every one of those markets was positive, low to mid-single digits. So we had a lot of consistency of positive performance across those markets, and I think that is what you see in the results. We also within EMEA, I mentioned this about Popeyes having a fantastic year in Turkey. Burger King in Turkey also was a standout performer, so a lot of unit growth and tremendous same-store sales growth. So we had a really good year across the board in Turkey. So I think it is that consistency across all of the biggest markets within EMEA. You know, they almost across the board had a positive year and quarter. That is driving the results that you see. And then if you go to Canada, you know, I think with around 3% same-store sales in the quarter, that is a pretty good result, I think, for a pretty developed business in a mature market. And I think importantly, within those results, we saw positive sales growth across all dayparts and all categories of the menu. So it was pretty broad-based, and I think that illustrates a pretty healthy business across the board.
Josh Kobza: Next question comes from Dennis Geiger at UBS. Dennis, please go ahead. Your line is open. Great. Thanks, guys. I wanted to ask a little bit more about BK US given
Sami A. Siddiqui: the continued industry outperformance in the quarter and your execution against plans despite the difficult environment. Anything more at a high level to talk about as it relates to opportunities for growth and share gains in ’26? And perhaps any thoughts you can share on franchisee sentiment right now and if that has got any implications for your confidence in the Carrols restaurant refranchising trajectory that you are thinking about? Thank you.
Josh Kobza: Morning, Dennis. You know, I would tell you I am really proud of the work that Tom, Nico, Joel, the whole BK US team are doing. You know, it has been three or four years of working on the fundamentals, improving operations. We have come so far, improving the franchisee base, remodeling restaurants. You know, they have been doing all the basics, and I think for us, it was really interesting to watch what we did with SpongeBob in the fourth quarter. And, you know, I think that Joel and the marketing team did such a nice job on all of the elements of that, the IP, the products that they developed, the packaging, and then we executed it well at the restaurant. And I think, really, it was great work. But it delivered great results because of all the underlying work that we have done in the business. And it really told us that I think we are ready to take this business to the next level and really elevate the brand based on the work that we have done and the fundamentals. And I mentioned it in the prepared remarks, but we saw both a lot of new folks coming into the restaurants and then we saw them come back. And that tells me they had a good experience. And they really enjoyed what they saw. They were surprised by the Burger King that they found, the changes that we have made. And I think that is what we are so excited about as we go into ’26 is we think we have got the fundamentals to a place where we can now get really on our front foot and go bring a lot of new folks back in the restaurant. People who love Whoppers, bring families back. I think it really opens up the doors for us. And, you know, I think our franchisees feel that. They have seen that improve, they have seen those improved fundamentals. They have seen us doing a nice job on the marketing side. I think they are pretty excited about the direction that we are planning to go in the coming year. Sami, do you want to touch on the refranchising? Yeah. I can take that. Good morning, Dennis. And actually, you know, similar to what Josh was touching on, I think you see that excitement in the calendar and innovation. You see that translate into excitement around refranchising. When we first spoke about the Carrols transaction, we talked about refranchising really beginning in earnest in years three through seven. We started actually refranchising much ahead of schedule in year one. We said we would do about 50 to 100 refranchised restaurants in the first year. And we exceeded that. We actually did a little bit over 100. So I think that reflects a lot of the interest and excitement from local owner-operators in the Burger King brand. You know, to step back, and we have talked about this a lot on previous calls, the most critical thing is that we get the restaurants into the right hands, the hands of local owner-operators who are going to be aligned to driving great guest experiences. And we are seeing that in all of our conversations, and we look forward to actually accelerating that number here in 2026.
Patrick Doyle: I will actually add one thing, which is, you know, the partnership with the franchisees is working because they know that we are focused on their success. We have been doing that now for a number of years, and they are seeing that what we have said we are going to do, we have done. And, you know, the remodels are generating a good lift in sales for them as we have been talking about for a couple of years. But we still have a lot more to do, which will continue to drive sales as we get more done. The service improvements that they are driving in their restaurants are giving guests a better experience, which means we are seeing things like Josh talked about. We do SpongeBob, and not only does that increase sales, but we see increased retention of those customers who have tried us because of it, because they had a good experience driven by our operators, driven by our franchisees and in our Carrols restaurants. You know, you see our improved marketing working and the focus that we are putting in there. So, you know, I can look at the glass half full, which is the things we have been doing are what have been driving the results that we are seeing in BK. And I can look at the glass half empty, which is we have still got so much more to do, and we know exactly what we need to do and what we are going to be doing over the course of the next couple of years. And that is what gives me confidence that we are going to continue to generate good growth and hopefully outperform the category and all of that being done with just consistent value that our customers can count on. We do not have to play around with a bunch of price points. We know what works, and we are doing that consistently. And their ability to count on that is a real value for our guests.
Josh Kobza: The next question comes from John William Ivankoe from JPMorgan. John, please go ahead. Your line is open.
Josh Kobza: Hi. Thank you. The question is on Popeyes US. And if I were to go back in history, you launched an incredible sandwich line in August ’19. I had to use the Internet to check that. In 2019, fried chicken is a great category. I mean, there are so many different people that want to be in the category and, quite frankly, have been successful in the category. And yet, you know, your results have really slowed down in the past couple of years, including some, you know, fairly low numbers in the fourth quarter of ’25. So I really want to go a couple places. So what do we kind of learn from the experience in the last couple of years, for example? What could you have done differently? In other words, what will you do differently to allow success? And then, really, I guess, maybe the bigger part of the question is, you know, a large franchisee declared bankruptcy in the Popeyes system. And, you know, looking at the comps, looking at that franchisee, are we kind of at the point at this point where we should stop thinking about new unit expansion and perhaps should even consider contraction until we get the franchise system and just the brand and the operating platform in the right place where it can materially grow again? Because I am sure me, like many others, had unit growth expectations for that brand ’26, ’27, ’28 for the Popeyes US business. Thank you, and hopefully, you absorb that question.
Sami A. Siddiqui: Thanks, John. I will try to get through as much of that as I can, and feel free to add, Josh. It is a big topic to address regardless. So
Patrick Doyle: for sure.
Josh Kobza: So just to start off, I agree with you. I think the chicken category is amazing. It is a great category to be in, and I think we have a wonderful brand, both for the US and around the world. That said, as you pointed out, we have had weaker performance than we would like over the last few quarters. And that is why you saw us make a change in leadership. And I think Peter is exactly the right person for what we need to do. And I am super confident in both what he is already starting to do and where he wants to take the brand. I think if I would break down the learnings into two simple buckets that shape where we are going to be focused: one is making more progress on the consistency of operations. You know, the leading players in the chicken category on average have very good operations. And we need to make more progress on that front. Peter’s background is in operations, and that is exactly where he knows how to make progress. So I am very confident in what we are going to do there. And then I think on the marketing and product side, you know, we spent more time in categories that were a bit more non-core over the last year, year and a half. And I think we are going to bring that focus back to the core. We are going to bring it back to the things that made Popeyes great, you know, our hand-battered and fried bone-in chicken, our tenders, and our sandwich. So we are going to narrow the focus a little bit that I think is going to help us to bring back our core customers and to execute at a much higher level. So, you know, you will hear more from Peter directly here at our Investor Day on Feb 26. I encourage you to kind of hear from him directly because I think it is very compelling. But I would give you that outline of overall where he will generally be focused. In terms of your question on the franchisee situation, obviously, we did have a filing from one of the large franchisees. I would tell you that the rest of the franchisee system across the US is actually in a quite good place. Leverage levels are in a healthy place even though EBITDA stepped back a little bit. So I do not think that is at all representative of the rest of the system. As a result of that, while NRG has stepped back already, I think we will continue to see growth in the Popeyes US business over the next couple of years. You know, just one last stepping back, John, and you kind of pointed out at the beginning. In terms of stepping back and looking at the history, you know, we acquired this business about nine years ago. It has been a tremendous run. It has had a little bit of some ups and downs along the way, but it has really been great both in the US and around the world. If I actually go back to when we got involved in the business in 2016, what created that opportunity was a bit of a wobble in the business at that time. And, you know, that created an opportunity to acquire a brand in one of the most attractive, if not the most attractive segments in the entire world. And after that point in time, we managed to produce an incredible nine years of growth. I think we have tripled or quadrupled that business. And I hope we will do that again now under Peter’s leadership. Very helpful. Good job.
Kendall Peck: Thanks, John.
Josh Kobza: The next question comes from Brian Mullen from Piper Sandler. Please go ahead. Your line is open.
Josh Kobza: Thank you. Just a question on Tim’s in Canada. I wanted to ask about
Patrick Doyle: speed of service. I believe that has been a tailwind for some time now. I am just wondering if you still see opportunity
Josh Kobza: to continue to improve from here. And then separately, can you just talk about the loyalty program, your efforts to continue to grow membership in that program, which we know is important. It correlates with higher visitation and spend. Thanks. Morning, Brian. I will take both parts of that question. So on speed of service, we have mentioned, I think, repeatedly over the last few quarters or years, we have made good progress there. I think Axel and Naira and the team are doing a very nice job. We are awfully fast in the morning. You know, the cars just fly through that drive-thru, sometimes every 20 seconds, which is remarkable. So it is pretty impressive that we continue to make progress there, and we will continue to seek to do so. There are a couple things that we are doing there that help. One of the big ones is actually the remodels. So I think we mentioned we have been ramping up the pace of remodels. And one of the big things that we do in those remodels is we rework the back of house in a way that accommodates some of the new things that have come in the restaurants—think about cold beverages—and allow us to enhance the speed of service in the morning. The other prong I would say there that is really important is our speed of service in the PM. And that is where historically we have not been as fast as the AM side of the business. And I think that will be a place where we can make maybe even more progress than we can in the AM over the next couple of years. In terms of the loyalty program, you know, we have made a lot of progress. We have got that up to about a third of the business. And we will continue to push adoption through everything from some of the events that we put out there, the things like Roll Up The Rim where we drive more digital engagement. But there is a new direction we are going with that as well, which I mentioned in my prepared remarks, which is partnerships. And we announced recently that we are going to do a loyalty partnership with Canadian Tire. We think it is a really obvious and very logical partnership for the brand. Two of the most iconic retailers in Canada coming together to tie together their loyalty programs. We think that brings even another compelling reason for Tim Hortons guests to become part of our loyalty program. And we will see how that goes. We are quite excited for it, but it opens a lot of doors to further places we could take that loyalty program to cause an even higher percentage of our guests to engage directly through our digital channels with us in the future. Brian, I will just add a couple stats here on the loyalty program, just because they are really incredible stats. What we are seeing is about 33% of sales came from loyalty members in 2025, which is incredibly strong. 7,000,007 active members. And our active members are spending more than 50% sort of post-joining versus pre-joining, and they visit more often than nonmembers. So a lot of good things to highlight in the program. And Josh brought up strategic partnerships that we think will further drive that business. And we also think that member-only offers through the app and the loyalty program are also going to help drive more penetration. So we are really pleased about the future of the loyalty program, and I think it is just the beginning.
Josh Kobza: Next question comes from Andrew Michael Charles at TD Cowen. Andrew, please go ahead. Your line is open.
Josh Kobza: Okay, great. You talked about your confidence in achieving 8% AOI growth in 2026, and I know you are saving the forward-looking commentary for the Investor Day. The release reiterated a 3% plus system same-store sales as part of the long-term algo. Wondering about your confidence this level can be achieved in ’26 and what you described as similar consumer backdrop domestically as ’25. Maybe said differently, is your belief in 8% AOI growth in ’26 contingent on reaching 3% same-store sales? Andrew, I will take that question. And Josh, feel free to chime in here. I think, look, first off, we are very pleased to have delivered three consecutive years of roughly 8% AOI growth and are excited, I think, to work again towards that target in 2026. Typically, kind of as we think about budgeting for the year and our targets for the year, we do target around that 3% same-store sales level, which is kind of consistent with our algorithm. I think as we think about that 3% comp and the unit growth kind of building towards system-wide sales, obviously the unit growth was a little bit lighter in 2025, though I think that still sets up a strong backdrop for system-wide sales. You know, rough math, if you are assuming around a 3% comp and just the math of it of around that unit growth from 2.9% unit growth from 2025, it equates to a top line of around 6% system-wide sales. Then I think there are a couple other puts and takes that kind of bridge to that 8% AOI growth. I think we have done a really good job on the G&A side. We have done a fantastic job in terms of adding discipline and really setting a new baseline for the business at $594,000,000 of G&A in 2025. We expect that to grow slower than the top line, so you will see operating leverage through the P&L from that. And then you will also see the Burger King China royalties come into the P&L in ’26, you know, at a couple points lower than our standard rate, but still kind of coming back into the P&L. When you take all of that together, I think that gives us confidence around the 8% organic AOI growth for a fourth consecutive year.
Josh Kobza: The next question comes from Christine Cho with Goldman Sachs. Christine, please go ahead. Your line is open.
Sami A. Siddiqui: Thank you so much. I really appreciated the color on beef
Christine Cho: prices as well as the impact on franchisee profitability at Burger King. And you have mentioned that you expect improvement as these costs normalize. But beyond that, are there any organic cost and margin opportunities you have identified across the P&L that could help strengthen the four-wall economics as we look into 2026? Thank you.
Josh Kobza: Hey. Morning, Christine. I can take that question. I think, look, you know, the beauty of being a multi-branded organization and having the size and scale we have all over the world is we are able to share best practices between all of our partners around the world and ultimately drive franchisee profitability. And there is a variety of things that we are working on when you think about from procurement and our global procurement scale, to thinking about digital contracts, to thinking about operational efficiencies. We like to share those best practices across our brands and ultimately that is kind of what helps drive franchisee profitability, be it at Burger King US or Tim’s in Canada. I would say particularly on the beef prices, obviously, we have seen beef prices be at record highs over the last year or so. And any of those levels have sustained. This is very regular and kind of normal in the market, and I think if you look at the beef market over many decades, the herd rebuilding cycles are a very common sort of pattern in this industry. We anticipate there will be relief at some point, though I think likely if there is relief on that side of things, it is likely closer to the second half of the year on beef in particular. So, but look, I think stepping back, as you think about franchisee profitability, it was down year-on-year for the Burger King system. Though I think we see, you know, when you normalize for those beef prices, actually roughly flat to even slightly positive year-on-year when you kind of incorporate the step to the ad fund contribution as well. The only other thing I would add, Sami, is, you know, the best possible way for us to grow the franchise profitability of Burger King is through growing sales in a profitable manner. I think that that is what is front and center with Tom and the franchisees is how do we do a great job growing the AUVs of this business in a profitable way. And I think the stuff that we are focused on, things like making the Whopper as amazing as it can be and bringing families back into the restaurant with awesome IP partners, those are great in that they bring more guests into the restaurant, they drive more sales. And it is very profitable traffic for the franchisees. So I think the sales, you know, we are always looking at cost opportunities, but I think the sales part is just as or more important.
Josh Kobza: Our final question today comes from Brian James Harbour at Morgan Stanley. Brian, please go ahead. Your line is open.
Patrick Doyle: Yes, thanks. Good morning, guys.
Josh Kobza: I am curious where
Patrick Doyle: new unit paybacks are. I guess I will focus my question on North America for sort of the unit growth brands. Do you think those are where they should be? How do you think it compares to some peer concepts? Or what else do you think you need to drive those besides obviously driving AUVs like you just mentioned?
Sami A. Siddiqui: Yeah. Brian, I can take that one, and Josh can jump in as appropriate. I think as we think about, obviously, new unit paybacks are very tied to the franchisee profitability metrics that we disclose. And, you know, when we think about new unit paybacks, I think it is also important to think about who is developing. And so really critical across all of our brands is that we are developing with strong operators, A operators. And if you actually look at A operator, you know, we typically are disclosing averages, but the A operator profitability is typically much higher than that. So when we are looking at new unit paybacks and the investment case for building units, particularly in the home market, you see actually pretty compelling paybacks across the A operators. I would say some of the most compelling, if you kind of tick through the brands, certainly continue to be at Tim Hortons in Canada. You know, at around $300,000 in four-wall profitability, and, you know, often with us with the corporate contribution on real estate. When you think about the paybacks the franchisees typically are looking at, you know, investing in FF&E equipment packages, and with us sitting on the head lease, that typically creates very strong payback on the order of, like, three years in Canada. When you kind of come to the US, and I will tick through—actually what was nice to see is the fastest growing US brand being Firehouse. When you think about the Firehouse payback, you know, that is a totally different development model. It is an inline development model. It is very scalable, and the increases in profitability combined with some of the great work that Mike and the team are doing. That is also leading to around three-ish year paybacks on new, three to three and a half year paybacks on new Firehouse units. And so, you know, the two faster growing in our home markets are very strong payback. You know, at Burger King, as we have talked about extensively now, we have a little bit of work to do on the profitability side. Josh said it best when the best thing we can do is drive sales and drive top line to improve those ROIs. But we do still have a lot of our franchisees who are developing—those A operators. They are seeing compelling returns with their higher average profitability. I would say the same thing on Popeyes as well. You know, our A operator profitability at Popeyes is still close to $300,000 of four walls. So when you think about payback, they are still quite strong.
Josh Kobza: I will now hand the call back to Josh for any closing comments.
Josh Kobza: Great. Well, thank you everyone for joining us today, and importantly, thank you very much to our teams all around the world and our franchisees for a great year in 2025. We look forward to seeing many of you on the call here in Miami in two weeks, and wish you all a great day. Thank you very much.
Josh Kobza: This concludes today’s call. Thank you very much for your attendance. You may now disconnect your lines.